Operator: Good day, Ladies and Gentlemen, welcome to the Third Quarter 2010 SL Green Realty Earnings Conference Call. My name is Erica and I will be your coordinator for today. At this time all participants are on a listen-only mode. We will be facilitating a question-and-answer session at the end of the conference. (Operator Instructions) I would now like to turn the presentation over to your host for today’s call, Ms. Heidi Gillette, with SL Green, please proceed.
Heidi Gillette: Thank you everybody for joining us and welcome to SL Green Realty Corp’s Third Quarter 2010 Earnings Results Conference Call. This conference call is being recorded. At this time, the company would like to remind the listeners that during the call, management may make forward-looking statements. Actual results may differ from predictions that management may make today. Additional information regarding the factors that could cause such differences appear in the MD&A section of the company’s Form 10-K and the other reports filed with the Securities and Exchange Commission. Also, during today’s call the company may discuss non-GAAP financial measures as defined by SEC Regulation G. The GAAP financial measure most directly comparable to each non-GAAP financial measure discussed in the reconciliation of the differences between each non-GAAP financial measure and the comparable GAAP financial measure can be found on the company’s Website at, www.slgreen.com, by selecting the Press Release regarding the company’s third quarter earnings. Before turning the call over to Marc Holliday, Chief Executive Officer of LS Green Realty Corp's, I would like to announced that the SL Green’s, 2010 Annual Investor Conference will be held in New York City, on Monday, December 6. To find out if you are eligible to attend this event, or if you are an institutional investor and you would like to receive further information regarding the details of the event, please email slg2010@slgreen.com, again that’s slg2010@slgreen.com. For today’s call, I would like to ask those of you participating in the Q&A portion of the call to please limit your questions to two per person. Thank you. I will now turn the call over to Marc Holliday, please go ahead Marc.
Marc Holliday: Thank you very much, Heidi. Please mark that date down, it’s an important date coming up in December for our investor conference. Hope many or all of you can attend. I want to welcome you today’s call to review our third quarter earnings and activity. We had a number of notable accomplishments over the summer. First and foremost, our core portfolio operating results were very much in line with our increasingly optimistic outlook as market fundamental in Manhattan continue to improve, and rising levels of business earnings, confidence, and space demand, are translating into reduced concessions and modestly increasing rents. We held steady our same-store occupancy at about 94 1/2 %, and we expect that figure will begin to rise in the ensuing quarters indicating a bottom of what turned out to be only a marginal occupancy decline over the past three years of somewhere at or under 300 basis points in total. Also, new rents on DO signed in the third quarter, slightly exceeded expired rents. But it’s more important not for the magnitude of the increase, but where the average rents currently sit in the portfolio, which for those expiring leases were only in the low $40 per square foot, leaving substantial room for upside as average rents in our buildings increased over $50 per square foot over the next several years, beginning ‘11. With 2010, the visible improvements have been in our tenant concessions, which have serially declined each quarter in 2010, and free rent on leases that commence in the third quarter which averaged just somewhere between 3 and 4 months. While it is apparent in the operating metrics, which are firming, what is less apparent, the more important to note, is that market activity over the next 3 to 6 months should drive Midtown Manhattan vacancy levels to under 11%, and result in somewhere between 5% and 10% increases in the face amount of rent in 2011. One of the leading stats underlining our rental forecast is the amount of vacant sublease space available for rent, which is now under 5 million square feet in Midtown after peaking at double-bend numbers less than 18 months ago. We currently have multiple offers in for space at 100 Church Street, which continues to demonstrate that if you have the flexibility to price space at the market-clearing levels, tenants will migrate towards, and even pay a premium for these buildings with well-capitalized ownership. Notwithstanding, what we believe to be pent up demand, current indicators appear more muted as private sector job gains have been slow to accelerate. New York’s largest leading businesses are generally sitting on sizable sums of cash, in some cases holding on to it, and other cases dividending it out to shareholders, but hesitant generally to invest that cash in growth, and new business lines, and new employees until they have a clearer and more acceptable picture in the political landscape, taxation, and new regulations. Conversional wisdom, with say new regulations might have a detrimental impact in our business, but we have seen to date that the disaggregation of business lines resulting from .frank, has in many cases resulted in increased business activity for us as new businesses have been taking space within our properties or other established financial firms have been picking up trading groups and trading lines, and expanding. So on a net basis, this has some time to play out, but we’re confident that with time these metrics will only get better for us. So it’s within this framework of what we see as improving market fundamentals, but where the indicators are still not showing any material degree of market recovery that we are actively and aggressively making investments, recycling capital via asset sales, accessing the capital markets for debt net equity securities, and deploying into new deals that we believe on average will minimally contribute double-digit returns. Three Columbus Circle is yet another example of our execution of this strategy, capitalizing on our established market presence in both debt and equity in Manhattan, and our long-standing and mutually beneficial relationship with Joe [inaudible]. We negotiated with him a recapitalization of 3 Columbus. This was another one-on-one preemptive of opportunity where we were able to bring debt and equity capital to the table to ensure completion of construction, and lease up of the property over a reasonable period of time, in order to get this done. We have mutuality of vision for the property, we’re both long-term owners, and we think this will be a very successful venture for us. While this is a project who’s profits will likely be measured over a period of years, at the other end of the spectrum, we had a favorable resolution on 510 Madison Avenue, that only took a period of months. In fact, three months ago when we had last spoke, we had just settled with Harry Macklowe, after a fairly contentious court proceeding. Dial forward three months later and our investment in the mortgage and mezzanine positions have been paid off at 100 cents on the dollar, plus reimbursement of most of our expenses. This certainly demonstrates the velocity in with which debt and equity capital is reengaging in the Midtown market, and the resulting compression of CAP rates that we are now seeing. We were framed from hitting up – for bidding up the price of the assets due to our belief that we would be better served by re-patrioting our investment plus gains and reinvesting it to projects where we felt we had a much better opportunity to make our threshold returns deals like 3 Columbus Circle. That’s not to say, however, that we don’t believe in [Inaudible] Property’s ability to lease up 510 Madison Avenue, possibly it rents into the triple digits, rents that we think will actually surprise most analysis and be consistent with our view of a recovering market. However, we simply have a different approach and a different strategy for the business and are targeting more opportunistic returns than we believed we could have earned on reinvesting in essence on the 510 transaction. The other investment of note during the quarter was a mortgage investment that we purchased on an asset located in City Center in London. This was an opportunity that came to us through conversions of several channels. The building has crossover tenancy to a major company that does business here in New York, who we know well. It was sourced through one of the big U.S. based commercial banks with whom we have a deeply established relationship, and we did in conjunction with the London-based asset manager who we have transacted within the past. We paid a fairly sizable discount for the loan. It has a debt yield that we thought was a very attractive debt yield on an absolute risk-adjusted basis. Given that it’s secured by long-term credit net lease for this relatively new construction property, and net of in-place financing that we put on the investment when we closed. We have about $20 million plus or minus of equity in the deal, which affords us I thought, a relatively good entry point in both size and product quality. And a placeholder in the market where we thought we had relatively safe risk-adjusted returns and would give us the ability to see if there were more opportunities that fit alongside this type of an investment or whether would be just be a one-off opportunity that was a unique moment in time for us to take advantage of, and what I’m quite confident it will be a good investment for us. With that, I’m going to turn this over to Andrew, who will give you more background and stats on the quarter.
Andrew Mathias: Thanks, Marc. We had a very active third quarter on the acquisition on this position front. As Marc mentioned, yesterday we announced our strategic joint venture with Joe [inaudible] on 3 Columbus Circle. This off-market transaction on a 770,000 square-foot Class A property is the combination of our 10-plus year relationship as a buyer, seller, and lender to Joe. The terms of our investment include a $250 million standby mortgage commitment and a future equity interest on the building. The deal will play out in more detail, as Joe contest the activities as an aggressive lender, including a complaint being served today, and a detailed answer to the pending foreclosure; an action he believes is inappropriate. We look forward to jointly completing the re-development of the building with Joe, and believe it’s important for the tenant market to know that the building is not being demolished, and is a prime big block of space available for lease in Midtown. In September, we closed our sale of 19 West 44th Street, another highly successful repositioning by our leasing and management teams. We were emboldened to see foreign institutional buyers step up for a very well-located, but mid-block asset. At over $420 per square foot, and a sub 6% 2011 return to the buyer, we believe 19 West was a strong statement for the market. And the final chapter for SL Green has not yet been written on the building, as the buyer asked our team to stay on as an incentivized managing and leasing agent of the building. The proceeds from that sale were reinvested via reversed 1031 exchanged into 125 Park Avenue. The quarter also saw us complete the final phase of our capitalization of 600 Lexington, with our closing of a $125 million refinancing of that building. This loan is a good indication of one contributors to the resurgence of the New York market. The loan material exceeds our underwriting in terms of proceeds, rate, and term, and will help us optimize our joint venture on that asset with CPP. The fourth quarter should also give us significant additional insight into the market, with several major buildings currently on the market including 111 8th Avenue, and 13 36th Avenue. The majority of the trading activity, however, continues to be in structured finance though it’s within the duct stacks of existing buildings and in new capital structures. Our own structure finance program gives us a powerful seed of many of these tables. In the quarter among other things, we added to our position, 280 Park Avenue, and originated a mezzanine loan on new acquisition of a 5th Avenue building that we had bid for but were unsuccessful in buying. We continue to see great relative value in this business today. And with that, I’d like to turn the call over to Greg.
Greg Hughes: Great, thanks, Andrew. I think as everybody can see from what we’ve been through so far, it’s been a very, very active quarter for the company. When you look at the sale of 19 West 44th Street, the repayment of 510 Madison, the refinancing of 600 Lexington, and our $345 million convertible note issuance, people can once again see that the company enjoys very, very strong access to various sources of capital. In fact, year to date we have raised over $2 billion through property sales, structure finance payoffs, property financing, unsecured note issuance, convertible note issuances, prep-equity issuances, and of course the free cash flow from the company’s operations. This access to various sources of capital, coupled with the solid performance of our portfolio during a very difficult time, and a substantial de-leveraging that has taken place over the last two years are the primarily reasons we believe our balance sheet is in solid shape as we close out the quarter. At the quarter end, we have $343 million of cash on hand, which does not include the $337 million of proceeds from our convertible note issuance that settled the second week of October. At quarter end, our debt to EBITDA was approximately 8 times, which is in line with our targeted debt to EBITDA multiple established last December. Our credit facility, which many had perceived to be a refinancing risk, had $800 million outstanding at quarter end, and has been sequentially repaid down to $700 million in October; roughly half of where it was just 10 months ago. This coupled with the strength in the bank credit markets, should alleviate any concerns surrounding the refinanciability of that facility. It does remain the case that we operated a slightly higher debt to EBITDA ratio than many of our peers, but we believe there’s good reason for this. The demand for New York City assets, clearly demonstrates that our assets are among the most liquid. With CAP ranging from 5 to 6%, the real-estate markets clearly ascribing much higher value to the NOI underpinning our EBITDA than most of peers. The average term of our office leases is approximately 8 years, making it the longest in the office sector. The credit composition of tenants is one of the best in the industry, and continues to improve. Our largest tenant city group continues to show solid improvement and the credit ratings for two of our largest tenants, Viacom and Amerada Hess have been upgraded this year. Accordingly, in comparing leverage in credit metrics, it is important to remember that all cash flows are not created equally. Other quick items of note on the balance sheet, the balance sheet quarter end of course reflects the sale of 19 West 44th Street, and the closing of 125 Park Avenue which included the assumption of $146 million mortgage. A structure finance balance end of the quarter at $907 million increased principally for the new investments, at 280 Park, as well as the structure finance investment in London that Marc had mentioned, offset by the retirement of our first mortgage on mezzanine investments at 510 Madison. Note that the London investment was executed through joint venture and has been financed with $62.8 million of non-recourse lending. So the company’s equity investment sits at around $23 million although the gross investment of 86.3 is reflected in this structure finance balance. Turning to the P&L, it was obviously a very successful quarter, highlighted by the gain we realized at 510 Madison. Excluding this gain, the quarter is right on top of what we reported last quarter, which is a solid result given the seasonal increases in expenses that we once again saw during the third quarter. The third quarter trends were as expected; and continue to point to the recovery that we previously projected. The mark-to-market on our New York rents for the quarter was 1.3% but as Marc diluted to, and more importantly, we started to see a decline in concessions with TIs averaging just $18 and free rent to 3 months compared to $56 and 6.9 months a year ago, and $21 and 3 months free rent during in the first half of this year. Our occupancy remained at 94.4%, originally we had expected to see a dip in occupancy during the third quarter, but as a result of the strong leasing activity, we are ahead of schedule and expect to finish the year higher than our original goal of 94%. Our same-store NOI for the quarter was down 2.83%, but as always, this includes lease cancellation income in this calculation. If one were to exclude the lease cancellation income from the third quarter of last year, same-store NOI was actually up 1% for the quarter. In the suburbs, our rent declined by 9% which is principally attributable to our decision to aggressively pursue the retention of Pepsi at 100 Summit, where we realized a significant roll down in rents on their 75,000 square foot renewal. Excluding this, the suburbs actually realized a 3% increase in the mark-to-market rents on the balance of the leases during the quarter. SOG share of property NOI from JDs, was down for the quarter which is principally attributable to the sale of 1221 Avenue of Americas during the middle of the second quarter. This investment had contributed roughly $10 million per quarter of NOI. A structured finance income of the quarter of course, included the gain from 510 Madison, In addition, during the quarter recorded a $5 million reserve on a mezzanine position related to a non New York City asset. This reserve was offset in part by a $3.6 million gain, on an asset which we had previously fully reserved. Other income for the quarter was down slightly from last quarter which included leasing commissions at 1515 Broadway, realized during the second quarter. MG&A for the quarter was approximately $18.4 million consistent with the previously two quarters and in line with our original guidance. As we look forward to the fourth quarter, we seem well on track to meet our revised guidance of $4.75 for the year, needing just $0.84 during the fourth quarter to meet this target. We have not adjusted guidance at this point in time pending the deployment of the proceeds from our convertible note issuance. Note that the coupon on these notes is 3% but the actual interest charge for county purposes is 5.6%, to give effect to the cost associated with the conversion feature. We expect some temporary dissolution from this issuance until the proceeds are fully deployed. We continue to be a very active – very active on the investment front for which we are penalized under the new accounting rules. While we do not have a current estimate of the fourth quarter transaction expenses, we expect them to be higher in the third quarter. The timing of structure finance repayment as well as interest rates represents additional variables to the fourth quarter results. Based upon these variables, we continue to maintain our guidance for the year and will give greater color surrounding 2011 at the investor conference on December 6. With that, I’d like to turn it back to Marc.
Marc Holliday: Okay, we tried to keep our remarks relatively brief today because we wanted to leave enough time for full amount of questions, which we’re prepared to answer now. The one thing that I would just add, since not everybody makes it to the end of the Q&A session, we will do, as we’ve done in the past, a very thorough market perspective and outlook for ‘11 at the December meeting, which is about a little over – a little less than a month and a half away. So you can’t do justice on a call like this to anything other than really a review of the results. But in that forum, we’ll have an opportunity to look at a lot of the trends that we see going on in the market right now, and try to pinpoint fairly accurately, as we’ve tried to do in the past for you, where we see premium rents heading ,to what degree, what we think the drivers of those things are, maybe some more anecdotal information from a lot of the tenants in our portfolio that we see either actively approaching us for space now, or looking to lock in early renewals out 2, 3 years or more from now, and try to quantify what kind of effect that will have on our earnings. And hopefully, share price in a positive sense as we move forward. But for now, I would say, let’s just open it up to questions and we’ll try and get to as many as we can.
Operator: (Operator Instructions) Our first question comes from the line of John Guinee with Stifel Nicolaus
John Guinee – Steifel Nicolaus: Very, very nice job. Two quick questions. One is Greg, I guess you’ve figured out your tax planning and dividend treatment for the next few years now. Can you keep the dividend as long as you have, retaining cash. And then the second question is, I was looking over your ground lease summary on Page 30, every few quarters you come up with buying back the ground lessor. Do you have any issues or concerns with your ground leases going forward?
Greg Hughes : I would say first as it relates to the dividend, obviously we have a significant amount of taxable income from the sale of 1221, which was not sheltered through 1031, and from the gain on the repayment of 510. We’re fine with the distribution level for 2010. I think originally we would have thought that there’d be no adjustment required to dividend until at least 2012. I think given the acceleration of the significant amount of taxable income into this year, we’ll have to re-evaluate 2011. We’re in the process of doing various taxable income estimates for 2011 and I think in December we’ll be able to offer you a better point of view as to if the dividend needs to be adjusted in 2011. It’s certainly fine for this year in the fourth quarter and in the process of redoing 2011 estimates. As it relates to the ground, I think there was a modification that 670 – I’m sorry, 711 Third and we periodically have opportunities to take in pieces of that and consolidate it, which we did there and we’ve done previously at 420. So I wouldn’t say it’s a problem, it’s we had the capital and sometimes those opportunities present themselves. They’re generally small and we just kind of take advantage of them when they – when they’re out there.
Andrew Mathias: I would add to that, we extended out the least on 420, as Greg just mentioned. We acquired it in the fee on 919 Third during this downturn. We had an opportunity to do that. Modified 711, we have the absolute right to acquire the fees on 379 West Broadway and also 461 Fifth. Short of that, I don’t think there are any other near-term situations that we would characterize as warranting any intense scrutiny at this moment unless you’re looking at one – a specific one that you want to know about.
John Guinee – Steifel Nicolaus: Will 711 Third transition to a fee in 2012? I just noticed that the cash payment dissipated after ’11.
Andrew Mathias: No, 711 is actually owned in fee by [inaudible]. That partner has never stressed an interest to sell and doesn’t look to.
John Guinee – Steifel Nicolaus: Thank you.
Andrew Mathias: We don’t have the fee there, John. The other half is sell by a third party.
Operator: Our next question comes from the line of Jay Habermann with Goldman Sachs. Please proceed.
Jay Habermann – Goldman Sachs: Good afternoon. Marc, you mentioned with trends improving, I’m just wondering with your stock now trading still at an implied value per square foot at around 500 or 520, you know, is this a more compelling investment say then originating structured finance at this point in the cycle?
Marc Holliday : Is what a more compelling investment?
Jay Habermann – Goldman Sachs: Buying back your own stock versus originating structured finance investments?
Marc Holliday: You know, we’ve – we get – we bought that stock in the past. We’ve done it with mixed results. I think we’ve been rewarded much more from shareholders by reinvesting our equity and making very sizable returns in some cases and sizable returns in others. There’s been a few bumps along the way, but on a net-net basis, it’s been very profitable and has afforded us five or six good properties and it keeps us embedded. Without the structured finance programs, Jay, I don’t think we get 1775 equity deal, 3 Columbus Circle. I don’t think we get it. I think that’s – what you saw there was six or eight incremental transactions with Joe [inaudible], all successful and all of which created a moment in time for us to step in on a one-on-one and get that deal done. So I think that’s a better use of the company’s capital, but it’s always in hindsight. The stock, you know, we could be proven wrong on that, or maybe the real estate values will compress to a five or sub-five cap and we’ll be happy we bought the real estate. But I think generally we’ve – we’ve certainly done both. We’ve invested in structure, we’ve invested in stock and at the moment we’re more interested at this point in the cycle in asset growth than we are shrinking the equity base.
Jay Habermann – Goldman Sachs: Okay. And just a second question, can you comment on – I guess you left open the guidance for the full year. Can you talk about some of the moving pieces? I mean, are you expecting any of your top ten structured advance investments to get repaid in the next couple of months, and just, I guess, use the proceeds from the senior exchangeable notes?
Greg Hughes: Well, I guess we hadn’t anticipated that we’d get 510 back as early as we did. So we want to provide some room in there for repayments that might occur. We’ve talked about 666 possibly repaying, although we think at this point that probably we’ll be out through the balance of the quarter, but want to provide some room there in case it gets paid down. I think you will see us carry a large cash balance through the fourth quarter depending upon when some of the proceeds for 1775 actually get deployed to, so that higher cash balance will be somewhat diluted during the fourth quarter. And I would say probably the biggest variable are these transaction costs that have to be expensed now and are very, very hard to budget for. We had people that run around here every week trying to estimate what those costs are going to be, but when you try and pin down what brokerage costs are going to be and transfer tax costs are going to be, and what you have to pay professional fees, it’s very, very hard to do. We have 1775, we have 280, we have a lot of other investments that we’re evaluating so all I can tell you is I know that number’s going to be higher, maybe a lot higher than it was in the third quarter. And unfortunately we would have to expense that. So it’s $0.15 off of what our third quarter run rate was. So could you see $0.05 dilution from carrying cash proceeds and then another $0.10 of dilution related to transaction expenses? I think there is absolutely the possibility you’d see that was why I think we’re set with just sticking with the 475 for the year.
Jay Habermann – Goldman Sachs: Okay. Thank you guys.
Operator: Our next question comes from the line of Rob Stevenson with Macquarie Capital. Please proceed.
Rob Stevenson – Macquarie Capital: Thank, guys. Just a quick question on the structured finance business. Where’s – have you see pricing – has that narrowed over the last couple of quarters?
Marc Holliday: Yeah. I think it certainly has narrowed. You know, the easiest example is in the publically traded securities where last – in 2009 we were very aggressive buying rate bond positions in several Manhattan buildings. We were purchasing those between, I would say 11 and 14% yield to maturity and today those trade for anywhere between 5 and 7%. So you’ve seen a lot of yield compression in rate bonds. And then, you know, I think on Mezzanine, it’s more just availability of capital, overall pricing, you know, seems to be holding at 10% plus. But there are a lot more providers of capital out there.
Rob Stevenson – Macquarie Capital: Okay. And then as a follow-up question, when you take a look at the balance sheet after the notes deal, what do you guys look at in terms of – or think is your acquisition capacity before you’d have to do something whether it be an equity deal or some other sort of capital raise?
Marc Holliday: Well, you’re kind of at – you’re at 8 time EBITDA, so it’s kind of right at the where we had targeted it to be. We have now 7 or $800 million available under the line, so we have that liquidity available to us to fund investments, so I would say we have 700 to 800 million available. And then, you know, we probably go out and, so you might see use draw on that defunded, but then do additional property sales to pay that back down. So we have that type of immediate liquidity. I think plus 300 million of cash on hand. So you know, you can make the case that we have $1 billion of liquidity. If we fully drew the line, we’d probably be at a leverage point that we could be there and be covenant compliant, we’d probably be – we’d be above our 8 times and may look to sell assets and pay that back down. But if, you know, if you’re thinking about in terms of what liquidity we have available to do deals now, I think a billion dollars is probably – is probably the right number.
Rob Stevenson – Macquarie Capital: Okay. Thanks, guys.
Operator: Our next question comes from the line of Rob Salisbury with UBS. Please proceed.
Robert Salisbury - UBS: It’s Ross. I’m here with Rob. Marc, a question regarding London. I guess strategically, is it your intent to continue to pursue office investments in other cities and other countries?
Marc Holliday: Well, I think that this investment is particular interesting, not because it was simply another market, but because we consider it to be a gateway market that had more similarities in some respects to a market we’re accustomed to on a commercial side as in New York as in London. So I think it’s interesting. Time will tell whether there are enough opportunities like this or whether it’s too competitive of a market and whether we have access to those opportunities and want to deploy capital there. I mean, I wouldn’t say this is part of any programmatic intent to expand in London, but I certainly – we spend a lot of time there meeting with investors, raising equity capital, we’ve come to know the market and we thought this was a very good opportunity and if it more presents itself, I would say we’ll look at more. That’s not to say it’s the first one we’ve ever looked at either. It’s just, you know, one of those moments where everything came together on what we thought was a transaction with very substantial upside and limited downside. So we – we went ahead and we took 20 million – 22 million U.S., we thought it was a good entry point. But I can’t say that there’s any strategic desire or intent to do more than that, but you know, we have looked in the past and we’ll continue.
Robert Salisbury - UBS: And Andrew, second question. On 280 Park and on 666 Fifth, can you just talk about what the end game on both those investments are? I know we were expecting something to happen on 666 Fifth and it didn’t come to fruition the second half of the year.
Andrew Mathias: Sure. I think – they’re both – 666 was in the market and the continued to, in that marketing processes for some or all of that property and we expect to get repaid in our investment as part of that sale. So that process is ongoing. And I think too on 280, it’s a good risk-adjusted return. We’re looking at it as a dead investment and we – there’s likely to an interim event on that building, but we see no reason why we won’t be repaid there, and we’re looking at it as a debt investment until it turns into anything different.
Robert Salisbury - UBS: Thank you.
Operator: Our next question comes from the line of Jamie Feldman.
Jamie Feldman – Bank of America/Merrill Lynch: Thank you. I was hoping we could talk a little bit more about this same-store comparison and just kind of as you think about next year, is there any quarter where you think it starts to turn meaningfully positive or is that just going to be difficult given the change in occupancy?
Marc Holliday: Boy. I don’t see how it could meaningfully positive in the next six to nine months. You know, the rents, we think they’re going to be up around 25% over a three-year period. You may see 5, 10% topline growth in rents next year, but those are for leases that will be leased throughout the year. I don’t know what meaningful me. To me, positive would be great, to be back into the plus category on same-store next year in the kind of low single digit numbers. But if that’s meaningful, then yes. But if you’re talking about something –
Jamie Feldman – Bank of America/Merrill Lynch: No, that is meaningful, above zero.
Marc Holliday: Okay. Above zero, okay. We’ll give – I’m sorry then, I didn’t understand your definition of meaningful. Above zero, we can’t unfortunately give you the color right now on the phone because we will have that at December. We’re finishing our budgets, but I’d say if that’s the standard, I would say surely there’s a shot and that is a goal we’re striving to. Whether we believe we will be there or not, I think you have – we need another month or so to sort through our ’11 numbers and we’ll have a firm view on that.
Greg Hughes: Yeah, I think you have to remember the leases that we’re signing here in the first three quarters kind of work their way into the NOI numbers in subsequent periods. So if you look at the mark-to-markets of – for the last three quarters of negative 5, negative 4 and 1, at least for the first half of the year of next year, I mean, you know, we’ll have a better number for you, and a specific number, you know, the first week of December. But you know, one shouldn’t think that you’ll see significant NOI, you know, same-store NOI growth through at least the first half of next year.
Jamie Feldman – Bank of America/Merrill Lynch: Okay. And can you give me a little bit more color on the suburbs just in terms of how the third quarter was in terms of new demand and what you see heading into the end of the year?
Marc Holliday: Yeah, the suburbs, it’s unfortunate, it was very – in some respect it was very solid. There were 18 deals done, 17 of which taken together had a fairly impressive mark-to-market and then we did one deal with Pepsi which kind of saturated down those metrics. So if you’re looking at sort of median kind of numbers, mean numbers, the suburbs pretty much held around 260, 70,000 feet, 18 deals, that outpace the amount of square footage we had projected to be leased during the quarter. I think the supplement showed it around 207,000 square feet. City renewed for about 82,000 square feet, and the mark-to-market would have been a positive 3.3% but for the Pepsi transaction, 75,000 square feet in Valhalla, which as I said, brought down those numbers. I think the Connecticut properties are faring somewhat better than West Chester and frankly, what you’re seeing is just inability or unwillingness for New York State to compete for these tenants in suburb locations the way Connecticut and New Jersey, but really Connecticut competes for these business with major, major tax incentives to locate them into Fairfield County and otherwise. So it helps us understand or sight of purchase on the New York and West Chester side of the equation. And those subsidies for businesses today, tax breaks, incentives, job perks, those are critical for any business that’s looking to renew or relocate its space commitment today. And we, unfortunately, work with all of the various agencies set up to try and track and retain these tenants, but there just doesn’t seem to be a lot of money, or emphasis on doing that as much so as I mentioned, in Connecticut. It works for us and in some respects it works against us in other respects. But all and all I would say it’s holding its own at around 87% occupancy. The rents, I think for the quarter were somewhat stabilizing around $29, high 20s, $29.00 or so a foot. And the good news is, we have very little credit concern in that portfolio. The tenants we have, by and large, we think are in good shape from a creditworthy perspectiveness and not an abundance of arrears or collection procedures.
Jamie Feldman – Bank of America/Merrill Lynch: Okay. Thank you.
Operator: Our next question comes from the line of Michael Bilerman with Citi. Please proceed.
Michael Bilerman - Citi: Good afternoon, Josh Attie is with me as well. Marc, I just wanted to come back to London and whether there’s other markets that you’re potentially putting placeholders in and I think I get why you think the London investment makes sense just from the size and how it came together, but I guess is there other things that you’re thinking about, or have targeted?
Marc Holliday: Well, I mean, we’ve – I would say of all the [inaudible] out there we’re probably as monastic as anyone out there. So I can’t say we’re sitting here with designs or intents on a major expansion plan. London, we think is somewhat of a unique gateway city, like New York, considered by many to be a more capital like New York, and we just happened to have a pretty interesting commonality of tenant seller and asset managers. So it made sense and we think we’re going to do, you know, hopefully we’ll do quite well in that investment. So I would say there’s no – we’re not looking at other markets in that same way because frankly, there’s very few other gateway markets – gateway cities like that that I think we would feel as comfortable doing business. We did a lot of diligence for this asset, getting up to speed and I think it becomes very well versed in the collection process for mortgage loans. The laws are, you know, similar in some respects and in other respects we actually think – exercise remedies is probably better in London than in the U.S. There was structural – there were structural ways we set up the investment, which worked efficiency from a tax perspective and also we head some portion of the currency risk for our equity investments, so yeah, we were just – it was a comfortable way to invest that business. There are other great cities, other world capitals out there. I can’t say that it would be as easy for us to invest in those markets and we’re not really looking at any other markets at this time, you know, outside of London, even if you want to say we’re looking at London, which is a bit of a stretch.
Michael Bilerman - Citi: And do you have, I guess sort of the cash structure in place on the asset and sort of what the timing is of your maturities and your financing?
Marc Holliday: Well, the loan is about 85 million pounds, first mortgage loan. We purchased that at a discount face, we’re 90/10, actually we’re 87/13 with our asset management partner and the financing on that is approximately, I don’t know, 65% financed or something along those lines.
Josh Attie - Citi: Marc, this is Josh. Some of the large financial firms in New York has seen a slowdown in trading volumes and some modest downsizings over the last few months. It doesn’t sound like it, but is that having any impact on the leasing markets from your view?
Greg Hughes: Well, it is – it’s not – it’s keeping the acceleration from happening. I don’t – it’s not backing us up. I mean, we have positive absorption, we’re chipping away at the vacancy. So it is a problem, if you will, from just delaying or constraining what we think is going to be potentially exclusive demand in this city for space because we are getting back to, as I mentioned earlier, very little sublease space available that’s vacant and has term and is available to lease. No new product that can deliver in any reasonable period of time in what I would call core-midtown. You know, corporate profits are generally quite substantial and we’ve – this is coming directly from our top 10, 20 shareholders, 10, 20 tenants who we meet with and are telling us about the, in some cases, record monies that they’re – that they’re making right now and they’re just not yet investing, or don’t’ have the confidence to invest in making big commitments to space and to people. But we do think that that’s coming and if it were not for the reduction of velocity, we might be seeing that now. But you know, if we have to wait until ’11, we’ll wait until ’11. The trends are in the right direction.
Josh Attie - Citi: And Greg, are any of the proceeds from the convert offering earmarked to pay down the line of credit?
Greg Hughes: Well, we, you know, cash is always fundable, and we had cash on hand. We brought in another 300 million and given that, that’s one of the reasons we decided to pay down the line by 500. We could have paid it down by more, but you know, because we’re still sitting on significant cash balances, but it’s early for having those monies in the house, we paid it down further.
Operator: Our next question comes from the line of Brendan Maiorana with Wells Fargo. Please proceed.
Brendan Maiorana – Wells Fargo Securities: Thanks. Good afternoon. I have two relatively quick questions. First on your mark-to-market on the signed deals, I guess the move from kind of, as you stated, negative 5% towards the beginning of the year to plus 1% in New York City for Q3, and as I look at the embedded growth on the forward 12 months leasing schedule, those numbers have generally been around plus 5 to plus 10%. So why is there the difference between the releasing spreads on the signed deals versus the embedded growth. And then the second question is, about 1% of your leases contain in-place rent bumps, in-place contractual rent bumps.
Greg Hughes: Let’s take the second one first. I want to make sure on the first one. I would say almost all of our office leases of 10 years or greater will have at least one if not two or more contractual rent bumps on top of [inaudible]. So we do – we do have fairly sizable rent bumps that – for term deals. The first question as to is there some forward metric that’s showing the 5 to 10% embedded rent growth, what –
Marc Holliday: Are you talking of our least expiration schedule in the supplemental?
Brendan Maiorana – Wells Fargo Securities: Yeah, exactly, yeah. That’s –
Marc Holliday: And that’s comparing – that’s comparing in-place rent and to-market asset rents, which don’t always necessarily translate into [inaudible] rents and for future periods. So it’s an indication of where it could end up. That doesn’t always translate exactly into the mark-to-markets that we actually realize.
Brendan Maiorana – Wells Fargo Securities: But do you guys expect that spread to kind of narrow as the market firms up?
Marc Holliday: Well, what you’ll see is we’ll start increasing the SOS, so I don’t know, if you’re looking for convergence, I mean, I think in any market it’s pretty customary to see somewhere between a small to a sometimes not so small discount between taking and asking. We can only give you, in terms of guidance looking out what we’re asking for rents. We do it building by building, space by space and it’s all listed, it’s out there in the market, we publish it. The taking is generally less, I would say in a tight market, maybe a little closer, a loose market, but never – in 2006 and 2007 because we were actually ahead of them we weren’t updating the market rents quickly enough so it didn’t catch up to it, so our market was actually receding the spread. So the answer is, I mean, it can happen, but we’re also increasing those rents along the way. And I guess if you have a period of rapid, rapid increase, if you may see the convergence or even reflection.
Brendan Maiorana – Wells Fargo Securities: Sure. Thanks for the color.
Operator: Our next question comes from the line of Michael Knott with Green Street Advisors. Please proceed.
Michael Knott – Green Street Advisors. : Hi, guys. Good afternoon. A question about this structured finance business. I think it was Andrew, you mentioned that you see great relative value. I was just curious if you could help us understand a little better how you guys think about that; is it relative to other fixed income alternatives or better value relative to equity real estate investments? I’m just curious how you think about that.
Andrew Mathias: We look at everything risk adjusted and when we risk adjust versus a lot of the equity opportunities that are out there in the market, we’re finding relative value in structure plans in a lot of cases. I think that’s – we’re obviously – we don’t have a broader fix-income mandate, so the only fixed income that we’re considering are our real estate investments. When we look at something like Fifth Avenue property, which we bid for – we lost the bid because we weren’t prepared to reach high enough on price. We found what we feel to be better relative value at about 60% loan to acquisition costs in the Mezzanine line we purchased. That’s sort of a live example.
Michael Knott – Green Street Advisors. : That’s helpful. And then I guess somewhere, do you consider the possibility that you might go over sort of the – I think historical 10% of asset value threshold that you guys have outlined for that business line?
Andrew Mathias: I doubt it. We never had – I think we are right around 7 or sub-7%. I think we’ve always bounced around between 6 and 9, so don’t ever say never, a self-imposed cap, but I think it’s been pretty good guidance, accurate guidance since we started the program we’ve never exceeded it. I’m not sure we – that includes [inaudible] with that, but you know, that’s where the program is now and you know, we think it’s the right balance.
Michael Knott – Green Street Advisors. : Thank you.
Operator: Our next question comes from the line of Jordan Sadler with KeyBanc. Please proceed.
Jordan Sadler – KeyBanc: Thank you, and good afternoon. Just a – as it relates to the investment activity, are you guys seeing good relative value in fee simple investment opportunities given sort of what’s happened in the New York market in terms of appetite for assets here?
Marc Holliday: Yeah, I think the short answer is yes, obviously we’ve had a very active year on the acquisition front so we feel very good about our investments in 600 Lex and 125 Park at this point and you know, an investment like 3 Columbus Circle, which is a fee-simple investment at its core, we’re still finding very attractive opportunities out there where we think there’s [inaudible] has set up very well to take advantage of what we feel are the leasing market from the leasing market fundamentals.
Jordan Sadler – KeyBanc: Okay, then on the leasing market fundamentals market, I heard you mention reduction in velocity in response to Josh’s question. I wasn’t sure if you were referring to sort of what you’re seeing very recently or if that was just specifically as it relates to some of the financial services?
Marc Holliday: No, I’m not – I have to think about. I though the question was as a result of the reduction in volitility. I might have said, trading volitility because the trading – the trading volumes are down very sharply, have we seen it translate into a reduction of demand from let’s say the Wall Street. The Wall Street bank demand has been pretty anemic if you will to begin with. So the point I was trying to make as I haven’t seen a reduction in that demand. I just haven’t seen that sort of low demand pick up like we hoped it would of. But the rest of the market that’s not, you know, part of the trading market, we see reasonable – reasonably good velocity and I think that’s just evidenced by the amount of lease signings. We’re going to receipt our goal this year by about 1 million feet And as a result, that’s why – that’s why we trimmed in those conceptions and we’re starting to move up or absent rents. That trend, I see continuing. But if won’t become, you know, what I referred to before, you know, it was – until the trading firms and the users demanding 500 square feet get back into the market in a meaningful way, which right now they just are not. Those jobs are not being created at the moment.
Jordan Sadler – KeyBanc: Historically, at what point are you able to start pressing rents in Midtown?
Marc Holliday: Another 150 to 200 basis points. You know, somewhere between 9 and 10% vacancy and we’re at 11, or just under that now. So we’re certainly not at a level we can start really pressing and recapturing them the material declines that we’ve seen over the last three years, but we are moving them, starting to move them steadily in a right direction. You’ve got to have the equilibrium first where rent should be in kind of static market and then if that excess demand kicks in that I’m speaking of, that’s when you see it turn into a landlord’s market somewhere south of 5 to 10%.
Jordan Sadler – KeyBanc: Okay. Thank you.
Operator: Our next question comes from the line of Susanne Kim from Credit Suisse. Please proceed.
Susanne Kim – Credit Suisse: Hi. I have a couple of questions. On Page 33 of the structured finance description, how many of these are actually accruing rent at this time and which are on a cash basis? It’s the Ten Largest Finance Investments.
Marc Holliday: One of them is on non-accrual. The rest of them we’re realizing income on and then, where then the income component, some of them have cash fees and some of them have pay-in-time, or a discount-decrease. And we’ve got to separately break that down for you.
Susanne Kim – Credit Suisse: Okay.
Marc Holliday: But I think there is a rule of thumb historically has been that around 60 or 70% of the yield is cash and the balance is an accrual package.
Susanne Kim – Credit Suisse: Okay. And then also, about the first – HealthFirst lease at 100 Church Street, has any of the PIs done yet, and what is the occupancy after HealthFirst moves in? How’s that sort of change the number there?
Steve Durels: This is Steve Durels. Right now we’re just preparing the space for delivery to the tenant, so the base building work is just being finished. The space will be handed over to them at the end of December and at that point HealthFirst will begin their construction and then you’ll start to see the PI pull down.
Susanne Kim – Credit Suisse: Okay. But what will the occupancy be for HealthFirst?
Steve Durels: We average around 70% lease and that’s when the HealthFirst lease kicks into the numbers for the fourth quarter. The least management for the fourth quarter. So it’s around 70% lease now, sometime in the next three to four months the occupancy should be up around that level.
Susanne Kim – Credit Suisse: Okay, great. And the last question is the stock earnings and the reports of various financial services tenants that, notably the third largest tenant, does this impact the real estate demand or is this observation at this point?
Marc Holliday: No. Most of our financial services tenants are locked in to very, very long-term leases, so kind of the interim results have kind of little impact on it. I would say the one – the one impact is how people think about the credit risk and as I alluded to, you know, the biggest one being CitiGroup, which has raised capital for selling businesses, as raised capital for each year and actually posted better than expected results. Obviously, they’re on for another 10-or-so years so it doesn’t impact, it just keeps getting better.
Susanne Kim – Credit Suisse: Okay, great. Thanks.
Marc Holliday: Any more question, operator?
Operator: Yes. Our next question comes from the line of Sri Nagarajan with FBR Capital Markets. Please proceed.
Sri Nagarajan – FBR Capital Markets: Yeah, thanks. A quick question on the – I think you said in your prepared remarks about some letter of intent signed for the 100 Church Street space. I’m wondering what kind of – what percentage lease would that put you at, or what kind of square footage are we talking about there?
Marc Holliday: Yeah. We do have good activity on that space with multiple people, you know trading proposals with us and we see a path to get into north of 70% occupancy in the, you know, in the relatively near future.
Sri Nagarajan – FBR Capital Markets: So that kind of dovetails with your remarks that it was about 70% leased already with HealthFirst lease?
Steve Durels: Yeah. This is Steve. Some of the activity, which I would – I don’t know what you say, letter of intent, these are – these are proposals, term sheets in some cases, early-staged leases. So nothing we would be comfortable in quoting a deal.
Sri Nagarajan – FBR Capital Markets: What do you think the 70% may increase to in the next six months or so?
Steve Durels: I think a good shot would probably be end of this year or first – early first quarter next year so that we get the building up to 80-85% occupied. There’s a reasonable shot that we get a lot further than that based on the deal we’ve got. We have offers in that have actively been negotiated which short listed for three or four tenants of very large size that would almost make them 100%.
Sri Nagarajan – FBR Capital Markets: That’s very helpful. My second question is on the 510 Madison gain, obviously the business has increased your FFO well above expectations. If you could share with us what the compensation impact would be for 2010 and ’11, just based on the gains, that would be helpful.
Marc Holliday: Well, the compensation program is not directly tied to these gains. There’s a – there’s a component of performance based [inaudible] that are based on either increases in share price above thresholds or increases above FFO, above thresholds. But the – the total return to shareholders is so dramatically exceeded the threshold to date, now the FFO as well, that should – that’s – those shares, but there’s no incremental comp program or strategy that’s tied to that FFO generation.
Sri Nagarajan – FBR Capital Markets: So just to sum it up, your stock performance all overrides anything at this time?
Marc Holliday: Stock performance, [inaudible].
Sri Nagarajan – FBR Capital Markets: Yeah, I was just saying that your stock performance year to date overrides your – any other factor such as FFO at this point in time.
Marc Holliday: Yeah, for ’10 and ’11 is a new ballgame.
Sri Nagarajan – FBR Capital Markets: Okay. Thanks.
Operator: There are no further question at this time. I will now turn the call over to Marc Holliday for any closing remarks.
Marc Holliday: Great. Well, I appreciate for those still listening the way we left time for the questions. I hope that was informative and look forward to spending some quality time with everybody in December. Speak to you later.
Operator: Thank you for your participation in today’s conference. This concludes the presentation. Everyone have a good day.